Operator: Good morning, and welcome to the Erie Indemnity Company Second Quarter 2021 Earnings Conference Call. [Operator Instructions] Now I'd like to introduce your host for the call, Vice President of Investor Relations, Scott Beilharz.
Scott Beilharz: Thank you, and welcome, everyone. We appreciate you joining us for this recorded discussion about our 2021 second quarter results. This recording will include remarks from Tim NeCastro, President and Chief Executive Officer; and Greg Gutting, Executive Vice President and Chief Financial Officer. Our earnings release and financial supplement were issued yesterday afternoon after the market closed and are available within the Investor Relations section of our website, erieinsurance.com. Before we begin I would like to remind everyone that today's discussion may contain forward-looking remarks that reflect the company's current views about future events. These remarks are based on assumptions subject to known and unexpected risks and uncertainties. These risks and uncertainties may cause results to differ materially from those described in these remarks. For information on important factors that may cause these differences, please see the safe harbor statements in our Form 10-Q filing with the SEC ended July 29, 2021, and in the related press release. This prerecorded call is a property of Erie Indemnity Company. It may not be reproduced or rebroadcast by any other party without the prior written consent of Erie Indemnity Company. With that, we'll move on to Tim's remarks. Tim?
Tim NeCastro: Thanks, Scott, and good morning, everyone. Thank you for taking time to learn more about Erie's performance in the second quarter of 2021. Over the past several weeks, many of us have started to return to a more normal way of living. And with that, we're also starting to return to a normal way of working. In early July, we began returning more employees to our offices for the first phase of our workplace reset initiative. Phase two is set to begin in September with a significantly greater number of returning employees. Many of those employees will be among the first to work in our new seven-story office building, which we're planning to dedicate in September after a 17-month delay. The building is spectacular, and I can't wait to see it filled with activity. As we move through this phased return to our workplace and pilot new ways of working, it's important to note that we'll be learning and adapting as we go. One of the biggest lessons learned over the past 1.5 years is that the human touch transcends physical location. So just as we've been doing since the early days of the pandemic, we're committed to taking a thoughtful and deliberate approach to our decisions. As we pioneer what's next for our workforce delivery, our special culture and unique service model remains at the forefront of everything we do. Turning to our second quarter. I'm excited to announce an exciting milestone with a sure symbol of our continued stability and growth, six million policies in force. We certainly could not have reached this milestone without our hard-working agency force and dedicated sales and underwriting teams. Our study as you will approach to pricing and commitment to long-term profitability positions us well for continued growth as we look to seven million policies in force and a century of service. We had a remarkable first quarter of the year, and I'm pleased to report that those strong financial results are holding steady as we reach the halfway point of 2021. As you saw in our press release filed after the market close yesterday, Erie Indemnity reported net income of $79 million or $1.51 per diluted share for the second quarter. This is compared to a net income of $82 million or $1.57 per diluted share in the second quarter of 2020. In the second quarter of 2021, we grew premium by 3.4%. This increase was largely driven by strong retention and an increase in new written premium of almost 40%. Losses remain at lower-than-normal levels due to a relatively mild spring and continued reduction in driving to the pandemic, contributing to a combined ratio of 92.6% year-to-date. Now I will turn the call over to Greg to expand on our second quarter results. Greg?
Greg Gutting: Thanks, Tim. Good morning, everyone. Thank you for taking time today to be a part of the Erie Indemnity second quarter earnings call. As the country continues to move to a more normal way of living, Erie is continuing to see this reflected in our financial results. We are seeing new business growth, but along with that, we are also seeing an increase in claims frequency. That being said, claims activity is still below pre-pandemic levels. You will see, as I share with you the financial results, that Erie remains well positioned for success going forward. Starting with the Exchange, the insurance operations we manage, direct written premium growth for the second quarter was 3.4%, driven by substantial growth in new business premium, which climbed almost 40% over the prior year. With a combined ratio for the quarter of 97.7%, the Exchange's policyholder surplus grew to $11.7 billion, up $400 million from March 31. Now shifting to Indemnity. In the second quarter, Indemnity generated net income of $79 million or $1.51 per diluted share compared to $82 million or $1.57 per diluted share in the second quarter of 2020. For the first half of 2021, net income was $153 million or $2.92 per diluted share compared to $141 million or $2.70 per diluted share in the first half of 2020. Operating income decreased 6.7% or $6 million in the second quarter of 2021 compared to the second quarter of 2020. Indemnity also saw a decrease in operating income of 8.9% or $16 million for the first six months of this year compared to the first six months of last year. Indemnity's management fee revenue for policy issuance and renewal services increased $18 million or 3.8% in the second quarter of 2021 compared to the second quarter of 2020. While for the first six months of 2021, Indemnity saw an increase of $30 million or 3.3% compared to the first half of 2020. Management fee revenue allocated to administrative services decreased $146,000 in the second quarter and was flat in the first half of 2021 compared to the same period last year. Turning to Indemnity's cost of operations for policy issuance and renewal services. Commissions increased $15 million in the second quarter and $24 million for the first six months of 2021 compared to the same period in 2020. The increases in agent compensation in both periods were driven by increases in the direct and assumed written premiums of the Exchange and, to a lesser extent, by the increase in agent incentive compensation related to more profitable growth. Non-commission expenses increased $9 million in the second quarter of 2021 compared to the second quarter of 2020. Information technology costs increased by $3 million, driven by increases in hardware and software costs as well as increased personnel costs. Underwriting and policy processing expenses also increased $3 million, primarily due to increased personnel costs and underwriting report costs. Lastly, administrative and other expenses increased $4 million in the second quarter of 2021 compared to the same period in 2020, driven by increased building and equipment depreciation and professional fees. For the first six months of 2021, Indemnity saw an increase in non-commission expenses of nearly $21 million, driven by increases in technology costs of $7 million, underwriting and policy processing expenses of nearly $3 million as well as administrative and other costs of $12 million, primarily driven by increased personnel costs and professional fees compared to the same period in 2020. Income from investments before taxes totaled $16 million in the second quarter and $34 million in the first six months of 2021. The results were primarily driven by equity and earnings of limited partnerships of $6 million and $15 million for the second quarter and first six months of 2021, respectively. I will remind you that the limited partnership asset class is in runoff, and we continue to expect more limited and inconsistent earnings from this asset class in the future. As always, we take a very measured approach to our capital management, and we maintain a strong balance sheet. And for the first six months of 2021, our financial performance has enabled us to pay our shareholders over $96 million in dividends. Thank you again for your time today. Now I'll turn the call back over to Tim. Tim?
Tim NeCastro: Thanks, Greg. Despite the many challenges faced by our agents and employees over the past 18 months, we haven't missed a beat when it comes to productivity and growth. Our teams continue to execute on initiatives that will make a positive difference for our agents and customers this year and beyond. For over a year, we've been developing and refining the strategy that will bolster our competitive position, focused on expanding our digital capabilities while leveraging Erie's distinctive human touch. That means further strengthening the distinct relationship we have with our agents and broadening our shared digital presence to engage with customers wherever they are using the methods they prefer. Because our agents are critical to the success of this strategy, continuing to grow and nurture our agency force is a top priority moving forward. The newly formed agent recruiting and performance team is focused on just that, recruiting, onboarding and developing new agents and providing ongoing training and support to established agents. Most importantly, the team will be doing so in a way that's right for Erie, making sure that new agents are aligned with our values and share our commitment to service. In recent product developments, we have refreshed our Erie personal umbrella product and pricing, and it's creating tremendous results so far. Umbrella coverage provides protection beyond what auto and home insurance policies cover, and the refreshed product has been rolled out in 10 states. Companywide, new business direct written premium for personal umbrella is up more than 50% year-to-date. Our goal is to have the product in all of our states by the end of 2021. We recognize that a key part of supporting our customers and agents include supporting the communities where we do business, and several recent outreach efforts speak to that ongoing commitment. In April, we introduced new grant opportunities ranging from $25,000 to $150,000 for nonprofits in our hometown of Erie, Pennsylvania that focus on school readiness and after-school activities for children. In May, we announced a $100,000 investment in the minority community investment coalition to support outreach initiatives focused on improving health equity in Erie. Additionally, we awarded $100,000 to 10 nonprofits in Erie and Allentown, Pennsylvania in May through our 2020 Charity Challenge. Though the golf events were canceled last year due to the pandemic, team captains who participated in 2019 voted on nonprofits to share those funds. We're delighted that this year's tournaments will be held as scheduled later this summer. Before we close, I want to share a few accolades earned by Erie since our last call. First, Erie moved up an impressive 29 spots in the 2020 Fortune 500 list of the largest American corporations from 376 to 347 based on total revenue from the 2020 fiscal year. Our ranking among this prestigious group for the past 18 years speaks to Erie's strong financial position and commitment to service. J.D. Power also recognized us in two recent studies. Erie was ranked first for customer satisfaction in the North Central region in the 2021 auto insurance study. In addition, Erie was ranked third for overall customer satisfaction in the midsized automobile insurer segment of the J.D. Power 2021 Insurance Shopping Study. Finally, I'm very pleased to share that Erie's first notice of loss team earned recertification from BenchmarkPortal. This is one of the most respected awards in the customer service and support industry and reflects the team's hard work, commitment and collaboration. As always, I'd like to express my gratitude to our employees and agents for their commitment to being above all in service and to our shareholders for their continued support and trust. Thank you all for listening in today and for your interest in Erie.
End of Q&A: